Operator: Hello, everyone, and welcome to the Chewy Third Quarter 2024 Earnings Call. My name is Emily, and I'll be coordinating your call today. [Operator Instructions] I will now hand the call over to our host, Chewy's CFO, David Reeder, to begin. David, please go ahead.
David Reeder: Thank you for joining us on the call today to discuss our third quarter results for fiscal year 2024. Joining me today is Chewy's CEO, Sumit Singh. Our earnings release, which was filed with the SEC earlier today, has been posted to the Investor Relations section of our website. In addition to the earnings release, a presentation summarizing our results is also available on our website at investor.chewy.com. On our call today, we will be making forward-looking statements, including statements concerning Chewy's financial results and performance, industry trends, strategic initiatives, share repurchase program and the environment in which we operate. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks, uncertainties and other factors described in the section titled risk factors in our quarterly report on Form 10-Q for the first quarter of fiscal year 2024 and in our other filings with the SEC, which could cause actual results to differ materially from those contemplated by our forward-looking statements. Reported results should not be considered an indication of future performance. Also note that the forward-looking statements on this call are based on information available to us as of today's date. We assume no obligation to update any forward-looking statements, except as required by law. Also, during this call, we will discuss certain non-GAAP financial measures. Reconciliation of these non-GAAP items to the most directly comparable GAAP financial measures are provided on our Investor Relations website and in our earnings release. These non-GAAP measures are not intended as a substitute for GAAP results. Additionally, unless otherwise stated, all comparisons discussed on today's call will be against the comparable period of fiscal year 2023. Finally, this call in its entirety is being webcast on our Investor Relations website. A replay of the audio webcast will also be available on our Investor Relations website shortly. And with that, I'd like to turn the call over to Sumit.
Sumit Singh: Thank you, Dave, and thank you all for joining us on today's call. Our third quarter results continued to build on the positive momentum we observed in Q2. We delivered top line growth exceeding the high end of our net sales guidance range, a sequential increase in active customers, continued adjusted EBITDA margin expansion and robust free cash flow generation. These results underscore the durability of our business model and our team's relentless focus on high-quality execution and operational discipline. With that, let's dive into the details. Q3 net sales increased by approximately 5% to $2.88 billion. Both the strength of our flagship Autoship program and our customers' loyalty in nondiscretionary categories, particularly within consumables and health anchored our Q3 net sales performance. Our Autoship program enables high ability and predictability in our business and drives customer stickiness for Chewy. Autoship customer sales reached $2.3 billion in the quarter, representing 80% of Q3 net sales and a year-over-year increase of approximately 9%. Nondiscretionary categories, including consumables and healthcare products and services accounted for 85% of Q3 net sales. Customers appreciate our comprehensive product catalog and our ongoing efforts to refresh assortment across food, treats and hard goods. Over the last few quarters, we have increased our assortment across popular categories such as pet tech, wet food and supplements to name a few, adding several new premium brands, most of which launched exclusively on chewy.com. Additionally, we are continuously rolling out enhancements to our on-site and in-app experiences to ensure we are providing an even more enjoyable and convenient shopping journey for pet parents. Last quarter, I spoke about our efforts to redesign our mobile app and make the overall app experience more convenient for customers. In Q3, both unique customers who placed at least one order on the app and average app monthly active users, or app MAU, increased in the mid-teens range compared to Q3 of last year. I am excited by the strong engagement we continue to observe through our mobile app and the experience it brings to our customers. Continuing on the topic of customers, I am pleased to share that Q3 marked another quarter of sequential active customer growth, building on the momentum we established coming out of our second quarter. Our efforts to enhance shopping experiences, expand assortment and various ongoing innovations, combined with our powerful marketing and CRM strategy continue to drive outperformance while macro normalization steadily continues in the background. We ended the third quarter with approximately 20.2 million active customers, up 160,000 sequentially. We now expect to end fiscal 2024 with active customers up modestly over last year, a trend which we expect to continue to strengthen in 2025. Turning to profitability. We generated $138 million of adjusted EBITDA in the quarter, representing a 4.8% margin and approximately 180 basis points of margin expansion year-over-year. Our Q3 adjusted EBITDA results reflect a continuation of our strong gross margin performance, a disciplined approach to cost management and the ongoing benefits of fixed cost leverage as we scale. Our increasing profitability has enabled us to continue to return meaningful capital to shareholders as reflected by the incremental $342 million we deployed to shareholders in the third quarter. Now let me provide an update on some of Chewy's strategic initiatives and innovations. The sponsored ads business continues to perform well, and as expected, we remain on track to reach the low end of our previously stated long-term target range of 1% to 3% of net sales in fiscal 2024. We remain on track with our 1P technology migration and look forward to starting the new fiscal year fully converted to our 1P software platform. Moving to Chewy's healthcare offerings. I am proud of the progress our team has made this year across healthcare products and services, especially Chewy Vet Care or CVC. With the launch of Chewy Vet Care clinics earlier this year, we not only unlocked the $25 billion vet services TAM opportunity, but we are also observing compelling complementarities across the entire Chewy ecosystem. We have six clinics opened today and expect to reach the high end of our previously stated target range of four to eight clinic openings in 2024 later this fiscal year. Performance across our clinic footprint is promising, and I'm happy to share that the early signs of success we spoke about last quarter have continued through Q3. The proportion of new to Chewy customers acquired through Chewy Vet Care continues to outperform relative to expectations. Additionally, broader ecosystem benefits, including cross-category shopping and post clinic visit purchases on chewy.com have strengthened since last quarter, indicating that our ability to seamlessly connect care with commerce is resonating with pet parents. I would also like to take a moment to talk about Chewy+, our paid membership program. Recall that we launched Chewy+ in summer 2024 to a representative sample of customers. Since launching the program, we have been carefully studying the shopping behavior of Chewy+ members and are tracking several key indicators of success, including the program's potential to accelerate wallet share consolidation and drive stronger cross-category engagement. Based on the data we have analyzed over the last several months, we are seeing that Chewy+ members consistently place more orders, have higher cross-category penetration and greater mobile app engagement relative to non-Chewy+ customers. Furthermore, we are seeing higher Autoship adoption rates from this early cohort of customers, signaling a potentially compelling flywheel effect of the Chewy+ program. While contribution to the overall enterprise remains immaterial, we are encouraged by these early results and look forward to introducing the program to our broader base of customers. Touching on Canada, where we completed a full year of operations in Q3. The Canadian business, while still relatively small and immaterial to the overall scale of Chewy, continues to improve across key metrics including Autoship penetration, net sales growth and profitability. Additionally, we remain focused on strengthening brand awareness in Canada and are excited by the brand partnership we've recently signed with the Toronto Maple Leaf's hockey team. We believe Chewy's passion for pets perfectly aligns with Torontonian's passion for the Maple Leafs, and we are bringing this to life with dynamic advertising and interactive fan moments during games at Scotiabank Arena. Lastly, I would like to acknowledge a notable milestone for Chewy with our recent inclusion in the S&P 400 Index as of November 6. We view our inclusion in this index as an endorsement of our performance, our enduring business and our compelling growth opportunities ahead. In closing, I would like to thank all of our dedicated Chewy team members for their hard work and strong execution in the third quarter. We are now focused on executing through our final quarter of 2024 and are excited about the customer engagement we have seen thus far through this holiday season and look forward to ending fiscal year 2024 on a high note. With that, I will turn the call over to Dave.
David Reeder: Thank you, Sumit. Third quarter net sales grew 4.8% year-over-year to $2.88 billion, exceeding the high end of the guidance range we provided last quarter. The pricing, promotion and discount environment remained stable throughout the quarter. As such, year-over-year revenue growth was primarily driven by active customer growth and cross-category product penetration, resulting in continued customer wallet share gain. We ended the quarter with 20.2 million active customers, reflecting a sequential net increase of approximately 160,000 customers. Gross additions exceeded pre-COVID levels and gross churn improved year-over-year. Within gross additions, both new customers and reactivations grew year-over-year in the quarter. We are encouraged by the positive momentum in active customers and expect these trends to continue through the balance of the year. Against the backdrop of a modestly improving pet industry and strong Chewy specific execution, we now expect to end fiscal year 2024 with modest year-over-year active customer growth. Third quarter Autoship customer sales increased by 8.7% to $2.3 billion, outpacing total net sales growth in the quarter by approximately 390 basis points. Autoship customer sales as a percentage of total net sales increased by 290 basis points to 80%, a new company record. Additionally, we continued to grow share of wallet with Q3 net sales per active customer, or NSPAC, reaching $567. Moving to profitability. We reported third quarter gross margin of 29.3%, representing 80 basis points of margin expansion year-over-year. Our growing sponsored ads business was the largest driver of gross margin improvement in the quarter, followed by product mix shift into premium categories, including consumables and pharmacy. Additionally, promotional activity in the third quarter was in line with our expectations and the promotional environment to date in the fourth quarter remains rational. Shifting to operating expenses. Please note that my discussion of SG&A excludes share-based compensation expense and related taxes. Third quarter SG&A totaled $546 million or 19% of net sales, representing 90 basis points of improvement on a year-over-year basis. SG&A leverage was primarily driven by continued discipline and efficiency with respect to corporate payroll, fulfillment and other at-scale efficiency benefits. Third quarter advertising and marketing expense was $191.8 million or 6.7% of sales. I would note that we expect advertising and marketing expense to come in at the high end of our previously stated range of 6% to 7% of net sales for the full year. This is primarily due to the timing of certain marketing pains in Q4. Third quarter adjusted net income was $84.9 million, representing a 34% increase year-over-year. Net income for the quarter was $3.9 million, which translated into $0.01 earnings per share on both a basic and diluted basis. Finally, we reported adjusted EBITDA of $138.2 million, representing a 4.8% adjusted EBITDA margin and 180 basis points of year-over-year margin expansion driven by the improvements in gross margin and SG&A described earlier. We reported free cash flow of $151.8 million in the third quarter, reflecting $183.5 million of net cash provided by operating activities and $31.7 million of capital expenditures. Our third quarter trailing 12-month free cash flow was over $360 million and demonstrates our ability to generate increasing levels of free cash flow while continuing to invest in our growth initiatives and returning significant capital to shareholders. I'd like to provide an update on our share repurchase activity completed in the quarter. In September, concurrently with a $500 million underwritten secondary offering of Class A common stock by BC Partners, we repurchased approximately 10.2 million shares of Class A common stock directly from BC Partners for an aggregate repurchase price of $300 million. This repurchase transaction allowed us to continue to reduce the ownership position of our largest shareholder and was executed separately from our existing $500 million share repurchase program. Additionally, during the quarter, we repurchased approximately 1.6 million shares of Class A common stock, spending approximately $42.4 million under our $500 million share repurchase program. At the end of the quarter, we had approximately $424.8 million of remaining capacity under the program for future repurchases. Collectively, the company has repurchased and retired a total of 30.7 million shares year-to-date. Our ability to generate increasing levels of profitability and free cash flow will continue to enable us to invest in our business and return meaningful capital to shareholders. We ended the quarter with approximately $508 million in cash, cash equivalents and marketable securities, and we remain debt-free with an overall liquidity position of approximately $1.3 billion. With that, I'd like to turn to our fourth quarter and updated full year 2024 guidance. We anticipate fourth quarter net sales of between $3.18 billion and $3.20 billion or approximately 13% year-over-year growth, which reflects the full impact of the 53rd week, and we are narrowing and raising our full year 2024 net sales outlook to be between $11.79 billion and $11.81 billion or approximately 6% year-over-year growth. This range includes the impact of a 53-week 2024 fiscal year, and as previously noted, the 53rd week will be fully reflected in the fourth quarter of 2024. We are raising our full year 2024 adjusted EBITDA margin guidance to a range of 4.6% to 4.8%. The midpoint of our full year adjusted EBITDA margin guidance range indicates approximately 140 basis points of year-over-year margin expansion and implies approximately 3.4% adjusted EBITDA margin for the fourth quarter. Consistent with our comments last quarter pertaining to the quarterly progression of 2024 adjusted EBITDA margin, we expect Q4 adjusted EBITDA margin to decline sequentially due to typical seasonality and the timing of certain investments, primarily pertaining to marketing campaigns. Given the results of our previous three quarters, we anticipate 2024 capital expenditures to come in at the low end of our previously stated range of 1.5% to 2% of net sales, and we expect free cash flow conversion to remain above 80% for the full year. Finally, we expect basic shares outstanding at fiscal 2024 year-end to be approximately 415 million. This incorporates the nearly 31 million shares that we have repurchased and retired year-to-date and does not incorporate any potential future share repurchases. In closing, our third quarter results reflect another quarter of strong execution. I want to thank credible Chewy team members for their collective efforts as we continue to execute against our strategic priorities to deliver long-term profitable growth. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question today comes from the line of Nathan Feather with Morgan Stanley. Please go ahead.
Nathan Feather: Thanks for the question, and congrats on the strong results. Really encouraging to see the continued momentum. Active customer growth continues to accelerate. Can you double click on what you're seeing in overall pet ownership trends and how we should think about the relative contribution to customer growth as compared to some of the idiosyncratic initiatives you've been working on? And then given the expectation for customer growth to improve further in 2025, how should we think about the key puts and takes you're considering for growth in the year? Thank you.
Sumit Singh: Hey, Nathan, this is Sumit. I'll start and Dave will jump in wherever he sees appropriate. So in terms of household formation trends, I think you started with that. We continue to see signs of industry normalization. Pricing remains stable. Inflation continues to move towards a more normalized level. In fact, we saw no benefit of pricing, as we mentioned on the earnings call, as we move through Q3. Regarding pet household formation, of course, there's no single source of truth for this data. Our triangulation continues to tell us that latest adoption and relinquishment trends are both trending in a better direction. We believe year-over-year adoption growth was in the high single-digit to low double-digit ranges, and relinquishments were down low single-digits. So overall, we observed a return to positive net adoptions in a cycle of Q3 from an external point of view. In terms of, let me see, you had another question here, double click to best expectations for active customer growth in ‘25 with puts and takes. So, I mean, there's a lot going on. Ultimately, we believe, as I mentioned last quarter, the active customer growth that we are driving, with now, two times -- now it's a trend, is largely due to our own efforts and the industry continues to normalize in the background, which is of course a stabilizing factor that is very good to see. On our side, enhancing on-site and mobile experiences, expanding assortment, performance and CRM strategy, and all of that is sort of what's working in conjunction. As we move into ‘25, what has really started to work for us is our focus on connecting the marketing funnel to expanded audiences and driving that funnel exposure is enabling our teams to find both the right level of efficiency, as well as the flexibility to move spend up and down the funnel to capture both share of voice and demand. And when we bring them to the site, we are able to convert them effectively with the previous efforts that I've talked about around improvement of site experience, customer choices, assortment, other innovations, et cetera. So, our ‘25 strategy is very much in line with operating the playbook that we've uncovered and strengthened for ourselves in ‘24. Another data point that I just want to draw your attention to, more of a recall from last quarter, is we'd said we have an improved ability to identify and segment customers and target them to drive improved second purchase rates, auto ship signups, mobile app engagement, et cetera, et cetera. And so, on the background, we've now sort of played this playbook for at least two quarters. We're going to rinse and repeat in Q4 and 2025, strengthening our channels and share performance in the market.
Nathan Feather: Great. Thank you.
David Reeder: Thank you, Nate.
Operator: The next question comes from Curtis Nagle with Bank of America Merrill Lynch. Curtis, please go ahead.
Curtis Nagle: Awesome. Thanks very much for taking the question. So I want to focus a bit on the 4Q guidance and maybe specifically on the comments in terms of the advertising and marketing spend. Just in terms of context, at the high end of the range, around 7% for the year, it implies like a really big dollar increase, right? Certainly relative to the other quarters, like no relative leverage from the extra week. So, I guess just kind of digging into that, what does this spend pertain to? Looks to me, it's like implied like $40 million to $50 million year-over-year, is that correct? And, are other specific products or customers you're targeting at one time? Just kind of dig into that and kind of how we should specifically think about that increase and whether just apply some conservatism or not.
David Reeder: Good morning, and thanks for the question. I'll take this one, and then Sumit, if you want to build upon any of it, let me know. I'll build upon Sumit's comments about active customers. So in the third quarter, when you think about the elements that go into gross additions, you’ve got new customers added, you've got reactivations, and then, of course, you have churn. And we actually saw improvement across all three of those metrics in the third quarter on a year-over-year basis. And so we're entering the fourth quarter with some momentum on the activities that we're driving across those three elements I mentioned. We're entering the fourth quarter with the continuation of what we believe is a normalizing industry as we previously referenced with moderating inflation as well as the shelter data that we've mentioned previously as well, which has continued in the third quarter. So with that momentum going into the fourth quarter, there's a couple of elements to consider. Number one, you typically have a little bit higher elevated advertising and marketing in the fourth quarter, given the holiday season as well as the timing of certain campaigns. And then building on that, we see an opportunity in the industry in the fourth quarter where we believe that we want to invest and lean into the fourth quarter such that we can continue to build on what we believe is some improvement in the industry and then continue that of course into 2025. So, net-net, you take a step back, you think about what we've told you for the year in terms of our guidance, active customer growth, flat to down in the first half, flat to up in the second half ending flat. We've moved up that guidance. We've pulled in that guidance and we see an opportunity to invest in the fourth quarter in advertising and marketing and we're doing that. For the full year, we'll be at the high end of the 6% to 7% range. And as you mentioned, to get to the high end of that 6% to 7% range for the year, that would imply being above 7%, specifically for the fourth quarter. Sumit?
Sumit Singh: Yeah, Kurt, I would just like to add more of a reminder on the conversations that we've had on this call in the past, which is we spend based on the ROI and the LTV potential that we're seeing in the current cohort of customers that we pick up from market and the existing customer base that we're developing share of wallet on. So in the past, as you know, we've swung the marketing spend all the way to the left, down 70 basis points, 80 basis points from our average. And now we're picking that back up. Why didn't we spend in the past and why are we spending now? Well, because we didn't see the ROI in the past and we are now. The cohorts that we're acquiring, the efficiencies that we're gaining based on the full funnel audience expansions that I talked about, are really compelling and behooves us to be able to invest to continue this trend as well as solidify growth for year 2025 and beyond. If you kind of see some -- let me share some of the data points that we're seeing. Our orientation is three-fourths of the customers that we're picking up had at least one SKU from a repeatable category. And that's an encouraging trend because it promotes Autoship growth and builds the layer cake that then sort of compels and spins the flywheel in a more efficient manner. We're seeing these new customers reorder rates and settlement rates improving as our engagements with these consumable type categories. When you look at year-to-date ‘24 new customer cohorts, in terms of year-over-year reorder rates, in the first few periods of post-acquisition, we're running roughly 300 to 500 basis points higher than the [Q3] (ph) month averages. So these are just some data points in the background that allows us to sort of study and increase or decrease the values of propensity in a modeling and therefore go out and invest if we see the returns. That's what we're doing right now.
Curtis Nagle: Okay. And then just -- that makes total sense. Just a quick follow up. The point you made, answering Nate's question on the adoptions were really interesting. I think you said up on a grocery basis high singles to low double, relinquishing down low singles, so not a pretty good number. How did that compare to 2Q, just trying to sort of size it in terms of relative improvement?
Sumit Singh: It's positive by, I think the margins extended by low to mid-single-digit ranges relative to Q2.
Curtis Nagle: Okay, awesome. Appreciate it. Thank you.
David Reeder: Sure.
Operator: The next question comes from Doug Anmuth with JPMorgan. Please go ahead.
Doug Anmuth: Great, thanks for taking questions. Two, if I could. First, just on vet clinics, looks like you're on track to the eight locations by year end. Can you talk more about what you've learned this year and how that informs your ‘25 expansion plans and the investments that may be required then. And then, Sumit, if you could also perhaps give us an update on automation, just kind of how you're tracking relative to the 70% to 80% kind of long-term percentage of volume that you've talked about over time? Thanks.
David Reeder: Yeah. So, with respect to the vet clinics, as we talked about, we were planning to roll out four to eight vet clinics this year. We're going to be at the high end of that range. The positive trends that we've seen on vet clinics have continued. Some of those positive metrics has been the operational utilization of those clinics. It's been high. The customer engagement from those clinics and the corresponding customer service levels have been high. The net promoter kind of score around those clinics and the service level high. The new customer cross category penetration, new customers to Chewy that come in through vet clinics, and then their propensity to go to chewy.com and then shop online at chewy.com, also high. In fact, more than half of those new customers, consistent with last quarter, actually an improvement from last quarter, are leaving the vet clinic, new customer to Chewy, and then going online and also shopping at chewy.com. So, all the metrics across the vet clinics trending positive. I'll leave the 2025 guidance for 2025, but I would just tell you that we've been very encouraged by our engagement with customers. We're encouraged by the size of the TAM, roughly $25 billion, that we've opened up through these vet clinics, and we're excited about continuing to grow our presence in this space. Sumit, anything that you would build on there?
Sumit Singh: On the automation, no, that's perfect. Thank you. On the automation side, Doug, we continue to trend upwards. A little less than half of our volume is now shipping through our 2G fulfillment centers and touching some sort of automation in the network. And that, combined with the improved supply chain tooling that we have, is allowing us to execute through a really strong peak. And we continue to gain those efficiencies and flow through the bottom line, as you can see in the OpEx scaling that Dave talked about in the -- on the script. Happy to dive deeper in any area if you like.
David Reeder: And just to build on that comment, using some data points from the third quarter, given the efficiencies that you've mentioned, we had an improvement on the variable fulfillment side. We had improvement on the fixed fulfillment side. In other words, we got more fixed cost absorption through those fulfillment centers. And orders every quarter this year, year-over-year, so Q1, Q2, Q3 on a year-over-year basis, orders are up across all those quarters and in total year-to-date. In fact, we had our highest order period during this most recent peak holiday peak cycle over the last week or so. And so the team is executing very well and the automation that's been referenced here is a big contributor to that, both in terms of output as well as efficiency and productivity. Did you have a follow-up, Doug?
Doug Anmuth: That's great. Thank you both. Appreciate it. No, all good. Thank you.
David Reeder: Thanks.
Operator: The next question comes from David Bellinger with Mizuho. David, please go ahead.
David Bellinger: Okay, good morning. Thanks for the question. First one, I wanted to revisit the app, which I think you mentioned last quarter was around 20% of revenues. Is there any update on how quickly that percentage could ramp up? How fast can we get to 30% or 40%? And then secondly, how should we think about the P&L impact of that? Can you simply bypass marketing spend and sort of get more leverage on the ad expense line by getting more volumes through your app?
Sumit Singh: Hi, David. So we’re -- this is a priority for us and we are essentially ramping up our efforts very quickly to be able to push this volume. I would consider this not a few quarters of effort but perhaps a couple of years of efforts to get to sort of market standard rates of about 40%, 45% of our, so doubling kind of the volume that is moving through the app. But the progress that we are making on a quarter-over-quarter basis is something that we like. And of course, yes, we like it for the fact that it's a closed-loop ecosystem. It allows us to collect 1P data, market on a 1P basis, take advantage of the direct traffic, stay in touch with customers who are really more engaged and capitalize on the trends that we see in the app, which are highly encouraging from an overall conversion of revenue into profitability point of view. For example, Autoship engagement rates are higher in the app, AOVs are higher in the app, retention rates in apps are several hundred basis points higher than customers who engage with us over the web or desktop. The cross category attach rate that we see go through the app is higher. So, all in all, it's just not only a more productive experience, it's also a more enjoyable and personalized experience that allows us to build a quality of relationship that we believe will be even stronger alongside the P&L benefits that come with it. We'll size the benefits side as we move to 2025. I'm taking that question to note and we'll come back in 2025 and size it up.
David Bellinger: Perfect. We'll come back on that one. And then just to follow up, in your 10-Q filing, it looked like there was some new language around a project on the finance IT side, not meaningful from a capital investment perspective, but can you elaborate on the SG&A portion? How much will that detract in 2025? And are there any deficiencies within the system that this is correcting?
David Reeder: No. No, there are no deficiencies in the system that this is correcting. This is new capability for us. So I think you should think about this as the migration of some of our planning engines to a more comprehensive online suite. And by being able to do that, which at no material impact really to the P&L. By being able to do that, we're able to get more granularity with respect to all of our operations. And we're also going to be able to apply some AI to those same operations to get some automated intelligence and reporting out of the system in a more comprehensive way.
David Bellinger: Perfect. Thank you both.
David Reeder: Thanks, David.
Operator: The next question comes from Steven Zaccone with Citigroup. Steven, please go ahead.
Steven Zaccone: Hi. Good morning. Thanks very much for taking my question. First question I had was just on pricing. Sumit, you said there was no benefit from pricing in the third quarter. How do you see that playing out in 4Q and then any preliminary views on 2025? It seems like the industry overall has been flattish for some time. So your thoughts on maybe what looks like next year would be helpful.
David Reeder: So, hi, Steve. This is David. I'll take this one and then, Sumit, if you want to build on it, chime in. With respect to pricing in third quarter, really no material benefit nor detriment in the third quarter with respect to pricing. We had goodness on the gross margin line, largely driven by sponsored ads and product mix. And then of course that flowed all the way through the P&L ultimately to give us a pretty sizable EBITDA beat for the quarter on a year-over-year basis, roughly half driven by gross margin and half driven by leverage through the remainder of the P&L. But really no impact either way from pricing. With respect to fourth quarter, you typically do have some pricing and discounting in the fourth quarter related to the holiday season. We fully baked that into our guidance for the fourth quarter. But again, no material kind of impact from inflation nor deflation, which the inflation piece is obviously we had seen in prior years and in prior periods, but really no meaningful impact. Really throughout 2024, we had a little bit in the first quarter, second quarter moderated significantly, third quarter relatively non-existent, fourth quarter expecting the same other than the traditional seasonality. And that's how we're kind of expecting rolling into 2025. We're expecting those trends to largely continue.
Sumit Singh: Yeah, the overall environment, Steven, the market remains very rational with, of course, some seasonal spikes that you would expect as we played through the CyberWeek last week, which was a very good week for us. If you remember our comments from the beginning of this year, the composition of revenue has shifted from part pricing, part unit growth, or structural growth coming into Q1 of this year to much more weighted towards structural growth as we exit this year. We are not seeing deflation happen in the category. The category that, of course, is more elastic right now as we move to Q4, particularly cyber, is more on the hard goods and discretionary side, but you would expect that as the industry normalizes and we push volumes through this seasonal holiday peak season. But outside of that, you should expect ‘25. If you recall our long-term growth algorithm, the revenue is a function of active customer growth in the low to mid-single-digit and NSPAC growth in the mid to high single-digit and there's a benefit of roughly 2% to 2.5% of pricing built in when the industry normalizes and that long-term growth algorithm we expect will come true as the industry continues to normalize, and we move out of ‘24 into ‘25 and ‘26.
Steven Zaccone: Okay, that's very helpful. The follow up I had is just in the context of raising the customer count outlook and then the commentary about that strengthening in 2025, how much of that is driven by the industry data points getting a little bit better, like you mentioned, pet adoptions versus your own idiosyncratic efforts, talking about marketing and stuff of that nature?
Sumit Singh: Yeah, it's hard to put a ratio on it, but we believe a majority of this change that we have seen is driven by internal efforts. And so we are bullish, that we should get an incremental tailwind when the industry fully normalizes. Currently, we are not taking that into account because we'd like to be --we'd like that to sit on top. And so presently, our comments around us growing active customer is on the back of efforts that we are internally driving and seeing success with.
Steven Zaccone: Very helpful. Thanks for the questions.
Operator: The next question comes from Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh: Good morning and thanks for taking my question. Also congrats on this quarter. So just going back to the hard goods category, we'd love to get more color in terms of what you saw during the quarter, expectations going forward, and then from a tariff perspective, if there’s any exposure on the tower front. Thank you.
Sumit Singh: I'll take the first part. Dave will chime in on the second one. So we're -- as you can see, hard goods continues to improve and it did in Q3 as well. And so on the backdrop, it's really good to kind of recognize the industry normalizing. We are viewing the steady improvement in hard goods performance as a result of both our efforts that I've talked about and indicative of that industry stabilization. Specific to our efforts, it includes expanding assortment across several merch classes. We've been very focused on bringing in high value-added assortment onto the platform. And our suppliers and vendors are very excited to partner with us there. We're focused on upgrading site experience to improve padding, discovery, and conversion. And we are marrying that up with thoughtful campaign execution. And so these efforts, so we believe the work done by our teams is paying off. And I also want to note that we will only fully benefit from this when we start to see a more fulsome recovery in discretionary purchasing. But we're happy with the results so far.
David Reeder: And building on that, we're excited about hard goods growing two quarters in a row now on a year-over-year basis. So, both second quarter of this year and third quarter of this year have now grown on a year-over-year basis. We're pretty excited about that growth. And we're also excited about the early trends that we've seen here in fourth quarter. So don't want to guide by a product category, but certainly we feel good about hard goods where we stand today in the fourth quarter. With respect to the tariff question that you mentioned, we have a very small reliance and presence on China specifically. We do source some hard goods from China, primarily related to some of our hard goods, but the vast, vast majority of our net sales at Chewy are pretty much domestic -- domestically sourced. So our reliance on the region and our, the impact of any potential tariffs relatively low on Chewy.
Rupesh Parikh: Great, thank you, I'll pass it along.
Operator: The next question comes from Mark Mahaney with Evercore ISI. Please go ahead, Mark.
Mark Mahaney: Thanks, two questions please. So this active customer growth, can you tell how much of that is from reactivated customers, customers you've had in the past who've churned off for whatever reasons and have come back and if so, any color on what those reasons are. And then secondly, it sounds like competitive intensity is relatively moderate given your comments on pricing. But other than pricing, is there anything else you're seeing notable in the competitive landscape? Thank you.
Sumit Singh: Hi, Mark. A greater number of customers were from net new customers that we acquired, but relative to the reactivated customers that we count towards gross adds. The other encouraging factor that we saw this time was, the cohort stabilization that we've been talking about. So churn stabilized as we would expect, which was Dave's earlier comment on all three indicators were positive, net new reactivated as well as lower churn. But between the gross add, the portion of net new customers on an absolute basis, absolutely exceeded reactivation. So, we were happy to see that of course, and we would want that. And then if you combine that with some of the results that I shared around how these cohorts are engaging in terms of second purchase rates, et cetera, that is encouraging to see. On the retention side, we're tracking settled orders, which is a metric that we developed as we came out of the COVID timeframes. So, to be really able to see turnover settlement rates so that we're not calling early success or early wins on these customer cohorts. And we're seeing turnover customer settlement rates also improve from cohorts that we've acquired from P5 of this year and before that. So all encouraging signs. Competitive intensity, you're right. It seems relatively moderate. Pricing environment is rational. And overall, we're playing a pretty strong playbook, continuing to differentiate ourselves, both in terms of the basics of the category on price and convenience and assortment, but also in bringing new innovations to life. Super excited about Chewy+, super excited about the app initiative, Canada's ramping well, sponsored ads are ramping well. So nothing else to report.
Mark Mahaney: Okay, thank you, Sumit.
Sumit Singh: Sure.
Operator: The next question comes from Shweta Khajuria with Wolfe Research. Please go ahead.
Shweta Khajuria: Thank you so much for taking my questions. Let me try two please. One is, could you please talk to some of the marketing channels that are working really well for you, we a positive surprise, or have been a positive surprise for you over the past couple of quarters as you lean into different channels and seeing better returns? That's one. And then second is, could you please talk about trends you saw quarter-to-date, so through October, November, December, and how the trend did versus your internal expectations? Thanks a lot.
Sumit Singh: Sure. So, I won't fully satisfy your curiosity on specific marketing channels working for us. I would reorient us back to the comment I made at the start of the call, which if you were trying to draw, hey, what's different? I would focus on the comment around really connecting the marketing funnel to expanded audiences and driving that full funnel exposure. That has been the most significant change that we've made over the last few quarters. Combine that with our ability to target those customers when they arrive on our platforms and drive to better conversion, I believe, is a powerful recipe, which we are continuing to perfect. So, more room to go there, but we're excited about what we are seeing so far. So I would likely just stick with that. Any color and quarter-to-date trends? We're happy with quarter-to-date performance. We just wrapped up our CyberWeek, and by all measure of the word, I would classify peak holiday event performance to be successful. We had a thoughtful and curated plan comprised of great assortment offers, experience, and marketing strategy, and customers in return engaged robustly with visits and spending exceeding our expectations, driving some of the biggest net sales day in Chewy history. So we’re -- and as you heard from David in the prepared remarks, we're increasing our net sales guidance range for the year. And while we did not specifically call out the last few weeks that we've played through, this increase is a result of the strengths that we are currently seeing in the engine. Anything to add, David?
David Reeder: Yeah, if I could build on that with a few softer points here that don't necessarily show up in the P&L, but they certainly give us a good brand umbrella. Number one, Chewy Claus. I'll call that out, especially this time of year. It's a program where pets submit their Santa wish list and it's gotten quite a bit of traction in prior years. It's gotten even more traction this year. It's not part of a paid marketing program, but it is a program that's organic and it's trending. And it's a program that when people associate pets, pet parents, the humanization of pets, and an emotive category like this. It is an organic trend that gets a lot of play this time of year, and it's a program that we love to run. And then finally, I'd be remiss if I didn't just point out the wow experience that our customer service provides every day and the brand uplift and emotive attachment to Chewy that that type of program does.
Sumit Singh: Shweta, if the CFO is talking about it, the Chewy Claus program must really be working good.
Shweta Khajuria: Thank you, Sumit. Thanks, Dave.
Sumit Singh: Thanks.
Operator: We have time for one more question. And so our final question today comes from Anna Andreeva with Piper Sandler. Anna, please go ahead.
Anna Andreeva: Great, thanks so much. Happy to have made it and congrats, nice results. Two questions from us. I wanted to follow up on hard goods. Sumit, just remind us what's the size of your own brand's business within that? Are you starting to see growth there and should that continue into next year? And is own brands still a higher margin category for Chewy? And secondly, I guess to Dave, FC automation has been a pretty big story here and you quantified that benefit in the 10-Q to OpEx. Can you remind us how many FCs are automated now? What's the benefit in OpEx savings you see per FC? And how many do you still have to automate ahead into ‘25 or beyond? Thank you so much.
David Reeder: Sure. Let me start perhaps with hard goods. Again, if you go into the 10-Q, you'll see that we report on hard goods. As I mentioned earlier, after several kind of quarters where we had experienced decline in the past, we have had two consecutive quarters now with growth in hard goods year-over-year. So the second quarter we grew year-over-year. The third quarter we've grown year-over-year again. And in fact we've grown faster than we did in the second quarter. And while we don't guide by a product line or category, we did -- we have experienced some good trends in hard goods here in the fourth quarter. So we're quite pleased from that perspective. With regards to our own private brands, either within hard goods or other categories, we don't we don't comment extensively on that. I would say in general, private brands for us has been stable. We have several initiatives that where we are expanding assortment across both consumables as well as hard goods. Most of those initiatives are future benefits and not really reflected in the P&L that we've produced for third quarter or that we're guiding for fourth quarter. So those benefits are yet to come. But hard goods in general up two consecutive quarters, trending well for fourth quarter. And then private brands within hard goods continue to improve assortment and selection. Sumit?
Sumit Singh: And I would just say that even though the relative stability is absolutely right, if you recall, this is an area of opportunity that we recognize as a strategic pillar. We want to get net sales penetration up to mid-teens level. And at that scale, we expect private brands to contribute up to 500 basis points of higher gross margin to the core business. For hard goods, we've mentioned in the past that penetration for our private brands is in the mid-teens to high teens level. It fluctuates that range across the year and we are relatively stable in that penetration. In terms of automation, six fulfillment centers are currently automated. What I would recall -- what I would draw your attention to is, at Capital Markets Day we said we can continue to automate across our network and reach or touch over 70% of volume in one way, shape or form to push through these improved processes. And if you look at just the FC itself, we have said it drives improvement to the tune of up to 50% in productivity, 30% in volume per square foot, and up to 60% improvements in ergonomics and safety. And those results are pretty true even now.
Operator: Those are all the questions we have time for today. And so this concludes today's call. Thank you everyone for your participation. You may now disconnect your lines.